Erik Lapinski: All right. Hi, everyone, and thank you for joining Axon's executive team today. We may notice we have a longer call schedule this afternoon. We're going to report our fourth quarter and full year results as we normally do, and then we'll transition into a short presentation where we'll introduce you to our new 2028 financial targets and share more about our vision. Our remarks today are meant to build upon our most recent shareholder letter and investor materials, which you can find on our investor website at investor.axon.com. During this call, we will discuss our business outlook and make forward-looking statements. These comments are based on our expectations as of today and are not guarantees for future performance. All forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially as discussed in our SEC filings. We will also discuss certain non-GAAP financial measures. Descriptions and reconciliations to GAAP are included in our shareholder letter and available on our investor website. Now as always, before we begin, we have a quick video to get us started. Let's pull it up. [Presentation]
Patrick Smith: All right. Thank you, Erik, and thank you, everyone, for joining us today. We completed another incredible year at Axon. I'm humbled by what our team has accomplished. It goes beyond products and financial performance, it's about our mission and the work we're doing to accomplish even more in the years to come. As Erik mentioned, we're going to do things a little different today. After you hear from Josh and Brittany, I'll come back to tie it together with how we see Axon evolving and why I believe there is no better position to be in than the one we are in right now. Josh you're up.
Joshua Isner: Thanks a lot, Rick, and good afternoon, everybody. I'm very proud of our team. They earned this result and they deserve the credit. They are this good. It's a privilege to work with such talented people who are passionate about serving our customers and pursuing our mission. And in 2025, their hard work yielded a number of exciting outcomes worth highlighting. First, when it comes to our key indicators on our scoreboard, there is no metric more important than bookings. You may recall that over the past few quarters, we laid out an ambitious plan to drive record bookings, I'm proud to say the team left no doubt. 2025 full year bookings surpassed $7 billion and were up more than 40% from last year. That's on the back of Q4 bookings up more than 50%, representing a major acceleration relative to 2 straight years of bookings growth in the high 20% range. To me, this is the beginning of a trend. We just booked almost as much business in the quarter as we did in the full year just 2 years ago, and we see no sign of that slowing down. Generally, we are big on singling out specific teams because, frankly, so many of them at Axon are operating at a world-class level right now. But given the Q4 results, I want to call out a few standout performances. First, our U.S. state and local team led by Jessica Duncan. This is our best team at the company and possibly the best team in the entire industry. In 2025, they delivered not 1, but three 9-figure deals. A few years ago, that didn't even seem possible. This demonstrates the tremendous reception that our new products are receiving. Speaking of new products. A second highlight was that new product bookings, which include AI and Fusus totaled over $1 billion for the year and were nearly triple 2024 as a result. For 2 years, we have recognized that for software companies to win in the age of AI, they must convert their existing customer base to AI users before someone else does. And I believe Axon is doing that better than any company in public safety. To that end, in our first full year of selling the AI Era plan, it accounted for approximately $750 million worth of bookings or about 10% of the overall bookings total. We are positioned to be a winner in this AI-driven environment, and we intend to lap the field. Along those lines, we see a lot of runway across our new product portfolio. ALPR and Vehicle Intelligence is another one that has barely scratched the surface. Our pipeline is sitting in the 9 figures for that new product set and we expect that to continue to grow. These are exactly the signs we need to see to know we are on the right track, and it's why we keep building more. The industry-wide scrutiny on data privacy and license plate readers is real, and we believe it's a tailwind for Axon. Our early and sustained investment in privacy by design and ethical governance has positioned us well. We're hearing directly from customers, some of whom came to us from other vendors that our track record on privacy and ethics was a deciding factor in their decision. Customers aren't just buying hardware and software, they're buying confidence that will help them deploy technology responsibly. That's a durable competitive advantage. Next up, we have new and emerging markets. Bookings in this category, which include everything outside U.S. state and local law enforcement, surpassed $2 billion on the back of record results in international corrections and justice. A huge shout out to our international team specifically, who crossed $1 billion in annual bookings for the first time and delivered 2 of our largest deals in Q4 both of which were large European cloud deployments, coupled with Connected Devices. We're seeing this type of progress across multiple regions as our land and expand strategy continues to gain momentum. Additionally, it's impossible to talk about explosive growth at Axon without mentioning our corrections team. A few years ago, it would have sounded crazy for me to predict this, but the largest single customer booking in Axon company history was delivered by our corrections team. And what's really important about that is what's included, TASER 10, Body 4, real-time capabilities, AI and more, showing we have product market fit across the platform. Corrections has become one of our many verticals to prove it could punch well above its weight. While 2025 was a great year, and we're thrilled with such a strong result, we stopped celebrating this at about 12:10 Pacific Time on January 6. That was 10 minutes into our 2026 company kickoff event. This is a team that is on to the next play. We are 15% of the way through 2026 already. And as we assess what's ahead, I have never been more excited to kick off a new campaign. We have opportunity in front of us everywhere. Of course, 2026 starts with selling new products to our existing U.S. state local customer base. At this point, hopefully, if there is no more confusion we are accelerating in this market and delighting customers along the way. As we sell new products to existing customers, we also sell existing products to new customers and several of those new customer markets represent exciting days ahead. Enterprise is a big one. The market is enormous and what we're good at translates perfectly. While 2025 is about putting the right team in place to start scaling fast, we also solidified our second high-volume U.S. enterprise customer. What's particularly exciting is that they will be fielding the recently announced Axon Body Mini, which is getting rave reviews in beta and will launch later this spring. On top of the Mini, expanded capabilities in Fusus, new AI offerings, counter drone technology and Axon Lightpost and Outpost will contribute to stronger and stronger product market fit in the enterprise space. U.S. Federal is also showing promising signs. There is a major opportunity across federal law enforcement for a number of our core products as well as counter UAS technology. As I look ahead, our patience and persistence in this customer set is paying off. Some of our largest opportunities in front of us for 2026 could come from federal customers, and we're excited to help. Our confidence is also bolstered by the arrival of our new federal leader, Claudia Davidson, who is well respected in the federal space and is off to a great start. Rick will talk more about this but as we enter the new year, we believe Axon is positioned very well. At our core, we sell integrated hardware and software solutions that help collect and leverage the power of data for our customers that have highly complex regulatory and liability requirements where technology has lagged for decades. That's a unique combination that lends itself to swift adoption of AI capabilities as our $750 million of bookings in this category demonstrates. So the takeaway is simple. We're seeing broad-based demand and we're seeing it at increasing scale in a lot of places. This is a defensible, rapidly expanding business built on a foundation of customer trust and we can't wait to put up another record year. Over to you, Brittany.
Brittany Bagley: Thank you, Josh. I echo Rick and Josh's comments when I say that I am truly thankful for our team and impressed with everything they were able to accomplish over the past year. First, I'll walk through our fourth quarter performance, and then we'll move to guidance, our new 2028 targets and how we think about the future. Q4 was another very strong quarter across the Board. Revenue grew 39% year-over-year to $797 million, our eighth quarter and fourth year in a row growing above 30%. Our growth is supported across our product lines. Software and Services grew 40% year-over-year to $343 million. Expansion within existing customers and growth with new customers both drive this segment. We see strong demand with new products, including Fusus, AI, VR and counter drone, each contributing to our software growth alongside our digital evidence management platform. Net revenue retention expanded to 125% in the quarter and demonstrates the adoption of our new products by our existing customers. ARR grew 35% year-over-year to over $1.3 billion. We're also gaining new customers in diversified end markets, as Josh called out, including strong wins in corrections and International this quarter. Connected Devices was up 38% year-over-year with revenue of $454 million. TASER revenue of $264 million grew 32%. Personal Sensors revenue of $109 million grew 28% and Platform Solutions revenue of $81 million grew 81% in the quarter. TASER 10, Body 4, counter drone equipment and VR training solutions were all drivers. Adjusted gross margin came in at 61.1%, down sequentially due to the impact of tariffs and increased mix from Platform Solutions, partially offset by continued strong growth in high-margin Software and Services. We expect to see quarter-to-quarter volatility from product mix. But over time, we will see the benefits of our software mix flow through to gross margins. Adjusted operating expenses of $1.1 billion increased $245 million sequentially and decreased as a percentage of revenue from 39.2% to 38.2% year-over-year. Increased operating expenses were driven by continued investment in R&D and our go-to-market functions as we scale the business to support future growth. This was partially offset by leverage on our G&A functions as we work to scale efficiently. Adjusted EBITDA grew 46% year-over-year to $206 million and adjusted EBITDA margin of 25.9% outperformed our expectations on higher revenue than forecasted and operating leverage. Operating cash flow of $217 million and free cash flow conversion on an adjusted EBITDA decreased year-over-year due to investments in inventory and the timing of collections, which we expect to catch up on in the coming quarters. We continue to target free cash flow conversion on adjusted EBITDA of 60% and expect 2025 to represent a low point as we get back closer to that 60% level in 2026. On our balance sheet, we leveraged our financing during the year to update our capital structure and completed the redemption of our outstanding convertible notes, limiting dilution while ensuring we have capital available to support our growth strategy. We closed the acquisition of Prepared in Q4 and closed our acquisition of Carbyne this month. Now turning to guidance. Our strong 2025 bookings, scaled manufacturing capacity, continued investment in new products and a growing bookings backlog supports our expectations for another year of robust growth. Our forecast for 2026 is revenue growth in the range of 27% to 30% year-over-year, which is the strongest outlook we have had heading into the year. We see robust growth and are maintaining our adjusted EBITDA margin of 25.5% for the year. This expectation includes the impact from our increased investment in several product and market areas as well as impacts from global tariffs, inflationary componentry costs, including memory and acquisitions, which are still scaling. Obviously, there was big news on tariffs last week. Right now, for us, very little has changed going forward given the implementation of the new 15% global tariff, and that is what we have baked in. We're not assuming anything on refunds until the process is clearer. In addition to our full year guidance, I'd like to provide some commentary on seasonality. Q4 is usually our strongest quarter for bookings, which we absolutely saw. Q1 is a period where we build pipeline for the year, resulting in our slowest quarter for new bookings. We also paid bonuses and commissions in Q1, resulting in a quarter that typically has lower free cash flow conversion than our average. We expect both dynamics again as we head into Q1. We do expect year-over-year revenue growth to be consistent with our overall guide for the year in Q1, and we expect to ramp into our average adjusted EBITDA margins as we scale revenue through the year, which may result in lower adjusted EBITDA margins than our annual target in Q1. Now that's the recap of our quarter and results for the year. As Rick mentioned, we are doing things a little differently today, and we've prepared a brief presentation to walk through our new 2028 target model and the long-term strategy behind it. Let's pull up the presentation. Thank you. Our agenda is a brief overview of our financials and targets from me, and then I'll pass it over to Rick to cover our longer-term product vision. As I look back on the last 5 years, I am impressed by the transformation the company has gone through, more than tripling revenue over 5 years with a 33% CAGR over the past 3 years. Scaling new hardware products and managing through ongoing supply chain disruptions and tariffs with stable gross margins, generating strong operating leverage as we expanded adjusted EBITDA over 500 basis points over 3 years to 25.5% and delivering over $700 million of EBITDA in 2025. Our products have expanded significantly, including TASER 10, Axon Body 4, our VR training portfolio, Fleet 3, Air and AI with software at 43% of our business. We've seen traction in markets like enterprise and corrections, each producing some of our largest bookings, and we've had our best year ever in international. As I look forward, we are going to keep that momentum, more than doubling revenue, expanding gross margins over time and delivering adjusted EBITDA expansion of almost 250 basis points as we continue to innovate, add problems, solve problems for our customers, add products, solve problems and gain traction in new markets. We've also continued to mature as a company with a strong balance sheet, clean capital structure and a track record of strong M&A with disruptive companies that complement our organic R&D efforts. Let's look a little closer at 2025 and some of the metrics underlying our business that highlight the quality of what we're delivering and underpin the future. First, we did $7.4 billion in annual bookings. That acceleration, growing bookings at 46%, along with our 125% net revenue retention is a great sign that our products are resonating with our customers. Today, only about 30% of our customers are on premium versions of our subscription plans, and that includes prior premium plans from several years ago, which actually look more like our entry-level plans today. We think that means we have meaningful room to drive adoption of the new products we continue to deliver. Our current officer-based subscription plans can deliver ARPU of nearly $600. And when we add in other products such as Fleet, Fusus, Dedrone and ALPR, that ARPU can get much larger. That's relative to our subscription plan 5 years ago where our most premium offering was under $250. Those new product offerings, which did over $2 billion in bookings are a major driver of future growth. International did over $1 billion of bookings. There is no one product alone that drives our success, but the portfolio delivers value across our customer base. Our success is driven by being customer-obsessed, innovative, embracing new technologies like AI and having the data and experience to make it work. We've always been careful with our customers' data, but we're seeing increasing value in how we can use it to deliver powerful AI solutions, all while respecting privacy. Within our software business, more than 40% of our software growth was driven by products outside our core DEMS business in 2025. In our hardware business, Platform Solutions drove more than 30% of our growth, also largely driven by newer products. For our 2028 targets, our 2028 revenue target is approximately $6 billion. This more than doubles our revenue today. Along with this growth, we are targeting a 28% adjusted EBITDA margin in 2028. This implies approximately 250 basis points of margin expansion over the next few years, balancing profitability with continuing to invest as a disruptive innovator and reaccelerating margin expansion after this year. As I mentioned before on free cash flow, we expect average annual conversion of approximately 60% over the longer term and expect to get back close to that level next year. We believe 2025 conversion will be a low point as we look ahead and maintain our conversion target of approximately 60%. We have a compensation plan that is highly performance-based, attracts and retains the best talent and met our goal of less than 3% annual dilution from stock-based compensation. We are now dropping that to less than 2.5% on a go-forward basis. No material M&A is contemplated in the forecast, but we expect to continue our strategy of tuck-in deals to expand our ecosystem and bring the best talent to Axon going forward. We will also continue to mature our business, our operations and our best practices while staying true to our culture and what makes Axon special. Another way we benchmark this model is through the lens of the Rule of 40. Over the last several years, we've consistently operated around 50% or higher with the most recent years among our strongest and well above 55%. Our target model implies we can continue to operate at these levels as we grow and expand margins, maintaining 55% or better. Let's go through what we need to do to get there, deliver for our customers, solve real problems and innovate. A core element of our strategy will continue to be reinvestment in the business. We are funding new product development organically that has been and will remain a primary driver of our growth and our investment. New organic products have included our TASER devices, body cameras, in-car cameras, VR training solutions, vehicle intelligence, evidence management and our suite of AI products. Our ability to fund organic investment positions us as an innovator, disruptor and category leader. We are not simply entering existing markets. We are creating them or taking a new approach. It is a testament to Rick's visionary leadership and ensures we are not the disrupted but the disruptor. That's why investing is critical. We won't get complacent. These investments are in both hardware and software as the deep integration is a strong advantage for us. The dynamics of our software business today with the nascent adoption of AI and strong trends in our other core software products means we expect software growth to be faster than hardware, but both are critical and valuable. You are seeing us drive upsell and adoption in our existing markets. We continue to have a lot of opportunity in state and local, and it delivered amazing results again this year. We also have tremendous opportunities outside domestic state and local in federal, corrections, retail, health care and other enterprise customers. This isn't hypothetical. We've demonstrated this with strong customer wins in each of these markets. We're investing behind them thoughtfully, and we will execute on and grow those opportunities as we drive longer-term results. We're incredibly excited about what we're going to deliver over the next 3 years in the business, but we always take a long-term mindset. So let me turn it over to Rick to talk through our product vision.
Patrick Smith: Awesome. Thank you, Brittany. It excites me that our team is thinking longer term, and I believe that will be a competitive advantage for many years to come. 5 years ahead -- 3 years ahead is no time at all and even in the history of TASER and Axon, but with the technology advancing faster than ever, I have no doubt the world will look unrecognizable in just a few more short years in a good way. Now before I talk about where we're going, I want to ground us in where we are today and what anchors us to do so much of what we do. Let me start with our Moonshot. A few years ago, we introduced a Moonshot to cut gun-related deaths between police and the public in the United States in half by 2033. We do a lot of things at Axon. But when you step back and you think about impact, I believe it all harmonizes under this goal and our mission to protect life. I'm also excited to share and look, this is still preliminary as data is still coming in from last year, but 2025 appears to be the first year where the number of gun-related deaths between police and the public actually went down substantially in the U.S. It's too early to claim Axon had a direct causal impact, but I'm encouraged to see the trend is turning the right direction for the first time. We do have numerous anecdotes of specific instances where the capabilities of TASER 10 saved the life in situations where previously people would have been shot and killed. See this video I'm going to show you now from our hometown here in Scottsdale, Arizona, where a woman called 911, she wanted to be shot and killed, she wanted to commit what's called suicide by cop. [Presentation]
Patrick Smith: Alright. As you can see there, there was another officer with a lethal weapon. I talked to some of the [indiscernible] day and they said she very likely [indiscernible]. Go and advance to the next slide, please. I also want to share that we've had customers now coming back and telling us they are seeing a result. We are in major county sheriff's office. That means they're one of the largest in the U.S. tell us that they had a 42% reduction in deputy involved shootings, and they believe that TASER 10 was a major contributing factor, along with de-escalation training, much of which happened in our VR system. So in addition to that quote, I just want to talk about like where this translates into our mission. Our mission translates into the products we build and the scale that we're now operating at. TASER is becoming synonymous with de-escalation and saving lives more than ever before and in more places. Today, we estimate a TASER cartridge is fired in the field approximately every 30 seconds in the U.S. In just the time I was speaking, another TASER cartridge has been fired. Every time a TASER device is used successfully, it has the potential to save life, and that's what grounds us in how we think about this product line. Training is also a critical element. We can build the greatest device ever created, but if people aren't trained to use it effectively, it doesn't deliver its true value. That's why we invested in building a suite of virtual reality training solutions over the last 5 years. We took a risk. VR training was not common or widely adopted when we started. And as Brittany mentioned, we leaned in to be the innovators and disruptors here. And today, we see that was definitely the right direction. Last year, customers completed nearly 0.5 million VR training sessions, and that number continues to grow. VR training is nearly sold 1:1 with TASER 10 deployments, and it can do much more than trained users on our devices. This year, we are infusing our VI platform with AI-powered features that will transform how police are trained in the decade ahead. Because we lean in and make bold bets before it's safe to do so, we garner significant first-mover advantages. And now we have what we believe is the most widely deployed VR training platform in the U.S. public safety sector and are well positioned to layer in AI capabilities just as we are across our massive sensor and software network. Another part of our strategy has been transparency and better decision-making in the moment. That led us to body cameras nearly 15 years ago. And today, our cameras are the standard in public safety. We have stored and enabled recordings of more than 60 million hours of body-worn camera footage on our latest two generation of cameras, Body 3 and Body 4 in just the last year, and we're helping customers use that body camera footage to drive more efficient workflows, provide transparency and support faster and more effective justice. Beyond body cameras, our real-time efforts expanded into fixed cameras, vehicle intelligence and real-time operations. Through Fusus, we now power more than 1 million monthly live streams with more than 300,000 community cameras connected. That's powerful connectivity and insights unavailable anywhere else. And finally, we're leading and supporting and driving toward the future in the AI era. We already have more than 500 public safety -- I'm sorry, public safety agencies live with Axon Assistant, generating more than 200,000 monthly messages. We were the first to introduce a suite of industry-leading AI tools for our customers, and we're not just enabling the ability to query. We're pioneering the ideas and the ways they will use AI and its features to do their jobs more safely and more effectively. We're just getting started with what that assistant can do. And you'll continue to see us push the envelope well ahead of the pack. I know that sounds like a lot already. But in my view, you haven't seen anything yet. It's about to get a lot more exciting, and it's going to happen faster than ever before. Let me summarize it in a succinct vision. This is how I think about Axon developing. Axon can be the provider of the world's largest global sensor network, fully connected and supercharged by AI. We will power the most intelligent connected safety devices globally. We will connect those sensor devices across the full life cycle of how they're used, and we'll build AI into every workflow safely, securely and reliably. Let's go to the next slide. And now let's dive into what that means in more detail. Building the leading global sensor network means more than just our body cameras used by law enforcement. We believe our devices can be the primary connected AI-powered assistant across many different use cases and industries. We're a leader in AI-powered wearables. Workers for the government, retailers, utility companies, health care providers and in many more places today taking massive amounts of data into their brains. And they process that data manually and they carry out the task they've been asked to do and then they spend hours typing it into systems. Our sensors will become their partners. Their virtual eyes, ears, mouths bring that real-world data into a digital backbone where it can be analyzed, utilized and relayed. Because we have the proven track record of ingesting and managing some of the most sensitive data on earth, enterprise customers of many varieties now see us as the safest choice to help them use sensors and AI to securely capture multimedia information and transform it into useful knowledge and work product. Today, we connect body cameras, in-car cameras, TASER devices, fixed cameras, drones and robotics. We've been the industry leader in introducing customers to these sensor product solutions, and we've built them in close partnership to understand or to ensure that we understand how they can be used to help. So I want to take a moment to step back and speak to something I believe is fundamental to Axon's long-term value creation. We build for durability, not for the metric of the moment. A decade ago, when our SaaS business was gaining momentum, there was real pressure to shed hardware and chase software margins. I disagreed. My conviction was and remains that the most important customer problems require integrated solutions, not point products. That decision looks prescient today. As AI increasingly commoditizes software development, the companies with defensible positions are those that own the full stack, including hardware, and we do. What we've built is an interconnected ecosystem of hardware, software and cloud services embedded in a heavily regulated industry through long-term government contracts. That's not just a business model. It's an ecosystem that grows even more valuable, the deeper our customers go into it. And rather than being a target for disruption, we are the disruptor. The current environment is accelerating our growth as customers consolidate around platforms that they trust to scale with them. The ability to capture data at the point of action and integrate it seamlessly across complex, regulated ecosystems is a rare capability and one that we believe will define the next generation of public safety technology. What you see in our sensor and product portfolio today is compelling. What it becomes over the next few years is what truly excites me. Our sensor network is most valuable, not as a system of record, but as a system of action. The ability to surface and connect data in real time across active incident and task workflows is what separates a truly integrated platform from a collection of devices. Post-incident analysis has its place, but real-time intelligence is where outcomes change. That is the capability we're building toward and one where we believe very few organizations in the world are positioned to deliver. What makes this even more powerful is, of course, AI, not bolted on after the fact, but embedded natively within the workflow and accessible directly through each device. This is the difference between technology that assists and technology that transforms. We are giving our customers genuine superpowers, the ability to do things that simply were not possible before. And we believe that potential has only begun to be realized. For most of my career, people thought we were crazy. But now the breadth of what Axon has built and the vision that connects it, it was not obvious to the outside world for a long time. And there were moments it was easier to just keep our heads down and build. But things have changed. The vision that has driven every product decision, every acquisition and every bet is now coming into focus for the broader market. People are starting to see what we have always envisioned. Let me give you a few examples of why I believe that. So here's one to make the vision tangible. A 911 call comes in and it's answered instantly. If it's not a true emergency, it's handled automatically by AI, freeing human capacity for the moments that matter most. If it is an emergency, the full weight of the Axon ecosystem activates in seconds. The call is transcribed and translated from just about any language in real time, breaking down language barriers that have historically cost critical minutes. Location confirmed, context captured, crime center notified, live video from city cameras, public sources, from the 911 caller's phone and vehicle intelligence all flowing in real time. A drone already airborne and gathering awareness before the first responder has left the station. By the time the boots hit the ground, the situation is already understood. And in a growing number of cases, the drone does not just inform the response, it is the response where it holds the situation safely, creating the time and visibility needed for a better outcome. This is the power of sensors connected and supercharged with AI. Next, emergency response is just one dimension of what this ecosystem makes possible. Consider the challenge of connecting physical infrastructure and protecting it against a new class of threat. Drones are the physical equivalent of a cyberattack. They're low cost, widely available and capable of causing outsized disruption and harm in the wrong hands. A single consumer drone can shut down an airport, compromise a stadium or create chaos at a public event. The question is no longer whether this threat is real. It is whether you are ready for it. At a major venue, an unauthorized drone enters restricted airspace. Our integrated sensor network flags it immediately, location of the aircraft, flight path and origin point of the operator are identified in seconds. Security engages on the ground. Law enforcement has the same real-time picture. The operator standing in a nearby parking lot realizes the response is already underway, and this disruption ends before it escalates and the event continues. But detection is only half the equation. Knowing a threat exists means nothing if you cannot neutralize it. Our DeDrone Defender uses the same sensor network that identified the threat to aim a sophisticated jamming system directly at the drone, delivering precise electromagnetic interference on the exact frequency it is using to communicate, not a broad blanket, a surgical one, a surgical response. Today, active drone mitigation is reserved for federal agencies, but the threat has democratized faster than the law has adapted. And many times, we will build ahead of the law and be involved in helping to change the law. So we're active at all levels of government. And what once only mattered at a presidential inauguration now matters at your county fair or your Friday night football game, drones are a threat everywhere. And we're not building for today's threats in today's regulatory environment alone. We're building for tomorrow's. When the law catches up, and we believe it will, Axon will already be there. This is the same connected AI-powered ecosystem applied to a different threat, and it works exactly the same way. Now let's take this ecosystem in a completely different direction. A retail associate faces difficult situations regularly. Before they ever encounter one, they've already been trained for it through our immersive AI-driven MetaCoach, scenarios designed to build the confidence and judgment to stay safe, deescalate and prevent situations from spiraling. It's AI-centric, and it can be delivered on any screen conveniently and effectively. When an incident does occur, they're ready, camera activated, panic feature engaged. Their security team is live within seconds, communicating directly through the device and pulling additional camera angles to guide the response in real time. The incident is automatically summarized and transmitted as an emergency to the local appropriate police department. The closest officer with retail crime training is dispatched. They arrive, deescalate and documentation begins immediately. That is where most systems stop. Ours does not. The post-incident reporting system cross-references the individual against prior incidents, aggregates the supporting evidence and delivers a complete prosecution-ready summary directly to the prosecutor's office. Justice is served, and that associate comes back to work the next day, not rattled but confident, knowing they have the training, the tools and an entire ecosystem behind them. This is end-to-end community safety, not a product, not a platform. It's really a promise. Sensors deployed citywide by governments, businesses and private citizens, unified in a privacy-preserving way into a system that detects threats, accelerates response and drives outcomes that matter. Every stakeholder is connected, every incident better handled than the one before. The goal was never just faster response times or better documentation. It was a community that works together, feels safer together, is more connected and trusts one another more because of it. That's what we're building. And again, we're just getting started. So what excites me most is this. We're not building for just one use case. We're building for many of them. Corrections, retail, health care, federal, the courtroom, the back office, every environment where safety, documentation and accountability matter is an environment where Axon belongs. A correctional officer with the tools to deescalate before conflict starts, a retail manager with real-time visibility into store operations; an ER nurse whose documentation burden drops so she can focus on the patient in front of her, a federal agent with the same integrated platform as the local officer on the be; a prosecutor who walks into court with a clear evidence-based picture of exactly what happened. The platform is the same. The impact scales to every corner of public safety and now beyond. That is the opportunity in front of us. So let me be direct with you. We are at a moment unlike anything I've seen in 30 years of building this company. AI is not an incremental shift. It is not a bubble. It is not overblown. It is a fundamental disruption. It is a force, and it will break companies that are not ready for it. I've watched tech cycles come and go. This one is different. The speed is different, the stakes are different, and it's what we've been building for, for the past decade or more. And I've never been more confident in Axon's position. We're not a simple all software company waiting to be undercut by a cheaper model or a faster startup. We're an integrated ecosystem of hardware, software and real-world data embedded in regulated environments, trusted by the customers who depend on us most. And that trust is not a marketing line. It is the result of 30 years of showing up, delivering and earning the right to be a partner rather than a vendor. Here's how I see the opportunity. If we deploy AI more aggressively and more thoughtfully than anyone else in this space, while honoring the responsibility that comes with operating in the environments we operate in, we will create value that our customers simply cannot replicate, cannot replace and most importantly, they will not want to because they trust us. They will reward that with deeper partnerships, larger opportunities and bigger problems for us to go solve together. None of this gives us permission to relax. Complacency is fatal. In a world moving as fast, yesterday's success is not a foundation. It is a liability if you let it make you comfortable. As Josh says, we got to focus on the next play. We had a great year, but Axon is not about getting comfortable. We're leaning in harder than we ever have. We will take bold risks. We will invest aggressively. We will reimagine everything AI can touch in what we do, and we will do it without losing sight of the mission that has always driven us. Axon has never been built on smooth sailing. We've been built on reinvention, on finding a way through when others said there was none. That is not just our history, it's our competitive advantage. And right now, it has never been more relevant. So let me leave you with this. What I've described today is not a vision deck. It's not a road map for the next few years. It's happening now, and it's arriving faster than any of us anticipated. The pace of what our teams are building, the creativity I see accelerating across this company, the acceleration they are delivering against their original road maps, this is the Axon I've always believed in. And right now, we are hitting -- we are firing on every cylinder. We're living through a pivotal chapter, not just for Axon, not just for public safety, but for humanity, the moment where human and machine intelligence begin working together to solve problems that once felt permanent. It's not hyperbole. It's what I see when I walk halls to this company every day. I've been doing this for over 30 years. I've never been more energized than I am right now. We're pushing the arc of history away from violence toward a world where killing is no longer necessary or acceptable. That mission hasn't changed. Our ability to deliver on it has grown and it has never been greater. Now what matters is execution. And by that measure, we've never been stronger. Let's roll.
Erik Lapinski: Thanks, Rick, everyone. So we'll spend the next half of the call today taking everyone's questions. Up first, we have Mike Ng at Goldman Sachs.
Michael Ng: Historically, you've given us a sense of what bookings growth could look like on an absolute basis or relative to revenue growth. I was just wondering if you could talk about what you're expecting around bookings growth and discuss the demand environment in 2026? And then relatedly, are you expecting to see any meaningful product or customer vertical inflections over the next 3 years embedded in the guidance?
Joshua Isner: Yes. Thanks a lot, Michael. I'd say at this point in time, we probably want to stay away from any bookings guidance. But I would say qualitatively, as we get toward the later part of the year and I start to have more visibility just like in the past years, I can certainly give more information then. But from a demand perspective, never been more confident across the Board. Like we knew our core was rolling, and we're excited about that. But seeing these new products layer on and just the stand-alone demand for them in some cases and the kind of bundled demand in conjunction with some of our other products, it's just -- it's coming together really nicely. And I think it's very, very possible that all 4 of our core markets are in a place to have banner years this year. And it's going to take a lot of execution and a lot of focus, a lot of discipline, but I'll bet on our team.
Michael Ng: Great. And just as my follow-up, just on the strategy to become the #1 global sensor network, it seems like Axon 911, building on prepared and Carbyne should be really foundational to that. Could you talk a little bit about the differentiation that you guys have relative to the incumbents? What does the go-to-market look like to address this wider group of constituents that you may have done a little bit less with in the past, like Fire and EMS?
Joshua Isner: Sure. Jeff, why don't you cover the product and then -- or Rick cover the product, I'd be happy to cover the go-to-market motion.
Patrick Smith: I'm going to give Jeff a little chance to speak here, and then maybe I'll top up after.
Jeffrey Kunins: Yes, sure. Thanks for the question. Michael, I think like we talked about before, the combination of sort of two steps. One is within 911 and then 911, how it connects to the rest of the ecosystem and everything Rick just talked about. So within 911, the combination of Prepared and Carbyne and why we were so excited to bring both of them into the Axon fold is because it's breadth and depth. And so what Prepared does is it is this AI-powered modern overlay that instantly adds value with almost 0 deployment complexity that can be done in extremely short order to any PSAP anywhere instantly turbocharging their ability to have a faster and more efficient workforce and to feed real-time data about incidents into a real-time crime center like Fusus and the like, and I'll come back to that in a moment. So it is not competitive with the legacy systems. It is an add-on and an instant overlay that's extremely efficient and effective. And then Carbyne comes right around behind that and says as an agency is ready whenever they're ready and many and many and more of them are getting ready sooner to say, we want to modernize our overall call handling infrastructure and have top to bottom the absolute best full stack for powering 911, Carbyne has already proven and continues to prove that pound for pound, they can outperform on every metric that matters those incumbent systems. And so the combination of those 2, we think, sets us up very, very well, both right now and in the years to come. And then both of those connect to the ecosystem in a very advantaged way in the vignettes that Rick already shared. So the ability to as seamlessly as possible, take that signal from 911, flow it right into the RTCC with Fusus, flow it right into DFR with Skydio and more, and then all the way connected from there to all of our other sensors and signals, including the ones that are being worn by officers. And so again, agencies will pick individually which pieces they want the most, but the complete combination is really unmatched and unbeatable.
Joshua Isner: Thanks a lot, Jeff. And from a go-to-market perspective, Michael, you're right to identify the fact that while there's overlap in the real-time crime center, the PSAPs are an extension of our customer base. I think Prepared's brand -- and look, the Carbyne acquisition closed just very recently. So most of my comments will be more geared toward Prepared as we've made a little more headway given that the acquisition was last year. These folks are very well ingrained in this customer set, and they're very well liked and respected. And I'd say any acquisition we do ever starts with the quality of the team, like it doesn't really matter to us who's ahead and who's behind. In this case, we believe Prepared is ahead and Carbyne is ahead in next-gen call handling, but these teams are very, very talented. So not only are we placing a bet on this technology, we're placing a bet on the leaders here. And specifically, Michael Chime, CEO of Prepared, this guy is going to win in 911. We're betting on him. We're arming him with what he needs, coupled with the mirror at Carbyne, we think we're going to be a very, very, very competitive group into the future, and we're excited about that.
Patrick Smith: One thing I want to just pile on with one other thing. If you look at -- there's sort of 2 general acquisition strategies, I'd say, in our industry. There's buy the mature cash cow industry leader and you sort of do that sort of a roll-up, which is not what we do, or you look at who are the disruptors that bring a fresh tech stack, Fusus, Dedrone, Prepared, Carbyne. These are all category upstarts that have a fresh technology stack that we can bring and integrate with what we're doing. The alternative is you buy a ton of tech debt. And so just because you've got a bunch of sort of legacy businesses under one brand doesn't mean that the systems play well together. And especially if we don't get the cultural elements right, driving change in large organizations is ever harder. So I want to thank Jeff, in particular, and Josh, I mean, I drive these guys nuts. They're trying to run a large business. And I'm always coming in like, hey, we got to push over here. We got to be changing. And I'm really proud. I mean, Jeff has shown me just great examples. I think our team is adopting AI internally at a speed that I'm just really proud of. And it's not easy. There's also -- frankly, at times, there's pressure to, hey, should we be more focused, stay in one market, stay in one product segment. But you look at the breadth of all the different things we're doing across that portfolio and now in so many different markets, -- and the benefit of that is when the ground is shifting beneath our feet, we're not just relying -- I would not want to be a software-only company right now. I think this whole SaaS box looks has got some real risk to it. But when you combine like doing integrated hardware and software and all the data handling and network effects of sharing across all these different users and now in each new market we go into, I just met with a huge company in the medical response space. The ability we can give them to directly communicate and share data with other first responders without going -- having to rely on a radio right out of the 1970s, we think sets us up to continue to really build this ecosystem for the future and disrupt many of the category incumbents.
Erik Lapinski: Up next, we have Will Power at Baird.
William Power: Okay. Great. Well, really strong results. Congratulations to the whole team. And Rick, probably most importantly, great to hear some of the early green shoots. It seems like you're seeing out of the moonshot land. So best of luck on that, obviously moving forward. Look, as I look at the future contract bookings, that provides really strong visibility seemingly for 2026. So I guess I want to focus on '27 and '28 and maybe better understand the confidence and visibility to sustain similar growth rates. Anything you can share on contribution from existing products versus new products? Any particular standouts there? And then I have a quick follow-up.
Joshua Isner: Sure. I mean I think, Will, in general, I think we're still growing into these new offerings, the AI Era Plan, the new version of OSP that launched this year. There's just more and more products. We have essentially more arrows in our quiver to keep selling and all of the buying signals are there. And frankly, we see a multitude of ways to get to that CAGR. I mean, we have, like I said, 4 markets that are all really showing signs of growth and a bunch of new products that we're really excited to see the adoption of. Maybe I'll call out one, which is Dedrone. That one, I think, has the potential to be really exciting, both because in state and local, we have the opportunity to really make an impact there with it, but it's really opening doors into both federal and international and often like the land and expand might not always be TASER into something else anymore. It might be Dedrone into something else. And we're just seeing that play out so beautifully across both federal and international. It gives us a lot of confidence in the out years. And so certainly, everything we're looking at in terms of indicators suggest that the next 3 years is going to be really exciting here.
Brittany Bagley: Yes. The only thing I would add for everyone is I don't think you need to assume anything differently than what we have just delivered in this last year, right? There's no major change that you have to forecast or underwrite for 2028. All of the product lines are growing. We're seeing traction in all the markets. You can just continue to roll that forward.
William Power: Okay. I just -- that's all very helpful. Just maybe to follow up on some of the AI commentary. Great to see the bookings strength there. It'd be great to get any kind of perspective on kind of what any year. I mean, I think last year was kind of the first big year for bookings, right, given when it was rolled out. Is that something that could double this year? I mean what's kind of the -- what does the pipeline look like? And what is the product road map there? Anything you can share on that front?
Joshua Isner: Well, I take a lot of craft at Axon for sports analogies. So you're not helping me out here. But I would say we're in the very early innings, like bottom of the first, top of the second, we're talking about here. We've got a lot of pipeline ahead of us in AI, and we've got the opportunity to continue deploying more and more AI products every year into this plan. And as such, the value will continue to increase in it and certainly attract more and more customers along the way. So this is one where this is like we're -- game just started, National Anthem is over and teams are running out on the field here.
Erik Lapinski: Up next we have Jonathan Ho at William Blair.
Jonathan Ho: Let me echo the congratulations as well on the strong quarter. Can you -- I also appreciate sort of the additional detail on your AI moats. And so I wanted to start there and maybe dig in a little bit more. Can you help us understand some of the domain knowledge and data moats that you have in the AI world? And maybe how does that relationship -- the vision for working with some of the frontier models, how does that look like now and in the future?
Patrick Smith: I was going to see if Jeff wanted to take that one.
Jeffrey Kunins: Maybe I'll start and then, Rick, you can chime on. So I think, first, I think that the grounding, and you've heard us talk about this before and goes with what Josh was saying, too, is that I think differentiation and success here in AI at its core in a world where everybody has access to the same commodity but very powerful frontier models is really, one, having the right physical sockets, and that's why hardware plays such a big role, right? So if you think about something like even translation that we came out with last year that is having such a big hit, the raw technology of translation comes with the core models. That's not where our -- either our innovation or our differentiation or our moat is. The key is that we are marrying that up with a clear and present, very real specific need for our customers all day, every day in their real job, and we are embedding it ergonomically and physically into the device that a very, very, very large number of the people in this category are already wearing every day. And that's why -- and like if you think about an officer carrying a phone and trying to pull out the phone and launch an app and this and that and the other or add some other piece of equipment that they're not used to or have -- all of those things are radically simplified when we simply can build in that functionality into an experience and a physical artifact that we already have that socket for. The second, as you said, is ultimately about the data. And as you know, we simultaneously have, I think, the highest bar of anyone out there in our own or even other segments about thinking ethically and responsibly about how we use any kind of data and certainly customer data in the right ways. But ultimately, even with the highest possible bar of dedication to responsible innovation, our responsibility and our ability, given that massive -- you talked about the millions of hours of video and everything else is for us to use the state-of-the-art as it keeps evolving with what the models can do to get differentiated results out of the same models that everybody else can use by leveraging in a responsible way, the unique customer data that we are the custodians of.
Joshua Isner: Maybe I'll just add one really, really simple add-on to that, which is like our CEO is in the top 0.0001% of AI users globally. So you can imagine what that means for everyone else at the company when that's Rick, right? And so I think I'm particularly proud of the push we've gotten from Rick, but also Jeff equally leading the charge on this and really establishing our identity as an AI company in public safety.
Patrick Smith: The only thing I would add on to the tail end of that is also the fact that we are managing these business process flows of this critical information because of the whole Evidence.com ecosystem, right? The evidence comes in, we store it, we move it around workflows that have traditionally been manual. The opportunity for us to automate more and more of that with AI is just like we're in this incredible position to automate away just a ton of work for our customers. And then it goes to the prosecutor, it goes to the defense attorney. And now we're now selling premium products there years ago. And we -- I think we still do have a free version of Evidence.com for prosecutors to be able to just receive evidence, but they're now buying premium versions because, boy, they sure love that evidence to come in and get processed for all the things they've got to do with it, make sure we're helping track discovery requests and helping them find where the needles in the haystack, the things they need to look at, most importantly, when they get 100 hours of video in a case. So I think the -- it really is that we've got sort of the manual version of these workflows with this highly secure data, and it's shame on us if we can't be the ones who really delight our customers by bringing AI in to solve more and more problems for them on their existing workflows and then doing new things that they never thought possible.
Jeffrey Kunins: Sockets, workflows and real jobs to be done. So many companies out there that are trying to work their way through this situation, they are trying to sort of, as Rick said before, kind of do AI for AI's sake or paint it on as an afterthought. Foundationally, we are always grounded in actually solving the real everyday workflows for our customers, and we have the benefit of having these incredibly sticky all day, everyday workflows and physical sockets that they are already depending on us for, and they are the perfect conduits to insert AI done right to help accelerate what they're trying to get done.
Jonathan Ho: Excellent. It looks like you're a clear beneficiary of this AI trend. One thing I wanted to also better understand is with the enterprise opportunity, you've now called out sort of multiple large contracts. It seems like we're just at the beginning here as well. What maybe has to happen from a go-to-market perspective to achieve that vision? What do you have to do to build out a channel and to sell this even more into newer enterprises?
Joshua Isner: Sure thing. I think, look, while it's a different market, I think we've seen this play out before. Some of us were here in 2009, 2010, 2011 when we were building the Video business in public safety, and we understand what it takes to like get momentum out of the gate to make your first customer successful to parlay that into customers 2, 3 and -- and the reality is it's like -- it's an exponential curve. It's not linear. Like we go from 1 to 4 to 12 customers and each of those kind of is the next like stone across the creep that we have to cross, and it's going to take a little time. But for me, the most important thing out of the gate is not how many enterprise customers we sign up in short order. It's how many enterprise customers we make successful and delighted with the products early on. And then the rest has a way of figuring itself out. And so for us, it's much more about getting the right team, focusing on the right early customers, focusing on the right channel partners in certain markets like private security. And so that's just a process that's playing out. But every year, we see a few more indicators that this is something that's truly turning into a valuable business. And while we've got some work to do, for sure, like my opinion is, as long as we keep things simple and put one in front of -- put one foot in front of the other, we're going to end up in a very exciting place in the enterprise business.
Erik Lapinski: Thanks, Jonathan. Up next, we have Andrew Sherman at TD Cowen.
Andrew Sherman: Congrats on the quarter. Josh, TASER saw a huge acceleration to 32% growth. Congrats on hitting $1 billion run rate there and also the decline in the officer-related debts. Talk about any specific drivers in the quarter that helped that? Where do you stand from a capacity standpoint? And is the Apollo cartridge still slated for this year?
Joshua Isner: So I'll let Rick weigh in on the Apollo DART project. In terms of TASER demand, I think it's a matter of just execution. I think one thing people have got to realize a little bit about bookings, and I think Q3 and Q4 were a good example of this is the bigger the deals get like sometimes Q3 like last year will be a decent quarter, but not a double over the last year, but then we come back in Q4 with a couple of these large, large deals that we thought had a chance to close in Q3 and they closed in Q4. So with 9-figure deals and these bigger and bigger deals, there's just a little more variability quarter-to-quarter. And I think that's more of what happened. I think it was -- the demand was there, and we are very confident in it. It's just some of those large deals pushed from Q3 to Q4, and the team did a good job getting them soon up before the end of the year. But we certainly feel like TASER demand is very strong. And it's exciting to see, obviously, the progress on the moonshot and to hear the testimonials from customers saying in or coming in. We're only talking about a low thousands number. So when you hear an agency say, "Hey, there were 5 or 7 of these that would have resulted in a shooting, that's like a statistically significant amount that we're starting to see in terms of saves instead of shootings in public safety. And so we're really encouraged to see the trend line. And again, a lot of work to do, but feeling like we're on the right track. Rick, did you want to cover the Apollo DART?
Patrick Smith: Yes. Apollo is testing extremely well, better than we even expected in laboratory testing, meaning the percentage of time we can get through heavy clothing being very high and the percentage of time we get an over penetration is very low. So that's great. It's going to be going shortly up to the Arctic circle for some field testing. We've made heavy investments in the automation. It is not an easy product to make. If you look at the videos, it kind of looks like this pretty cool object. The thing is a flying hypodermic needle that we have like cut with incredible precision to create these cascading crumple zones so we can use the physics and fluid dynamics of skin function to create a chain reaction that makes this thing stop cutting through materials and penetrating. So I think it's a really big technological breakthrough. And I would say it's probably not going to be a meaningful contributor to revenue this year, but it will start to be in real customers' hands for the next cold season is the goal.
Andrew Sherman: That's great. One more quick one for you, Josh. Europe, obviously had a huge year. Great to hear the 2 big deals in Q4. How is the pipeline for this year tracking? How do you keep up that momentum? What's driving that?
Joshua Isner: Sure thing. It's a story of -- we had 2 huge deals at the end of the year that certainly helped the result, coupled with a lot of medium-sized deals. And I think that's kind of the thing. Like as it's growing, we saw this in state and local, we feel good about the foundational level, but for things to really grow fast, we've got to have more and more big deals. And so we've got a bunch of big deal hunters over there in Europe now, and they're bringing back more and more opportunity every quarter. And while the timing is going to vary a little quarter-to-quarter, we feel like we've got a few really, really exciting opportunities in international this year, and the team is going to focus on closing them.
Erik Lapinski: Thanks, Andrew. Up next, we have Mike Latimore at Northland.
Mike Latimore: So I think you've mentioned that within the longer-term guidance, maybe software grows a little faster than hardware. I guess is there any thought that maybe the software growth rate actually improves or accelerates a little bit given some of the AI applications that are going in there?
Brittany Bagley: I mean I think we're obviously really excited with the performance we saw, but our hardware business is also doing great. So I mean, I think they're both performing so well. It's hard to really call which will be a bigger contributor. I think you've seen in the last couple of years, though, that software has been slightly outpacing hardware growth, and that's a tailwind for us from a gross margin standpoint.
Joshua Isner: We do have monetary dynamics there with like how much software historically we've booked, when you just layer on the AI Era Plan on top of that, now there's just so many more dollars available in software and AI relative to hardware. So certainly, we're excited about that and seeing more and more software start to pile up here.
Patrick Smith: We do have some more hardware magic up our sleeve over the next couple of years here. So I do want to give a shout out to Brittany as well. She had her work cut out working with me on the long-term plan because one of the things I worry about is that if we underinvest in continuing to build out the hardware elements of the ecosystem, which are going to -- they're not going to be as high margin, at least initially, especially as the software, but I think it's important to the health of the business. And Brittany and her team really did a nice job really rigorously modeling this out to show me we have plenty of room to be able to hit all the investments we want to invest in and continue to deliver growing profitability to our shareholders.
Mike Latimore: Great. And then just a second question for me. It seems like you've won some good international cloud deals lately. Do you see sort of an acceleration there? Is that kind of loosening up where the dam sort of broken and now international cloud is going to -- they're more comfortable with that model?
Joshua Isner: Yes, for sure, for sure. And we think AI is the thing that takes that opportunity to the next level as well. Now it's like if you want to deploy things on-premise, you're essentially signing up for 0 AI tools into the future, which I think is becoming pretty clearly not a winning formula. And so I think that is a nice push to the cloud for some governments that have been slow to adopt it. And we're here certainly waiting for that moment with a lot to offer, not only in cloud, but also in AI.
Erik Lapinski: Up next, we have David Paige at RBC, and welcome to the calls with us.
David Paige Papadogonas: Erik. Nice to be here. Congrats on the great results, team. I had a question -- maybe jumping back to what Jonathan Ho had asked, in terms of driving growth in the enterprise market and the go-to-market, I guess if I think about like U.S. public safety, police station, like the Chief of Police would then call like the neighboring chief of police and say, "Oh, hey, I have this great Axon product. Why don't you look at it, look how beneficial it is." But like a big box retailer wouldn't exactly call their biggest competitor and say, "Hey, I have this great camera that's reducing theft and all the benefits that it has." So I was just curious, maybe you could flesh out just how you're going after new business there.
Patrick Smith: Yes. Let me take on that one to start because I would actually tell you, they do colleagues, the security departments are mostly former law enforcement. And they're under a lot of pressure, and they don't view that as a competitive advantage in any way. It that's an area like we partner with Auror, which is one of our investment companies out of New Zealand that basically runs a case management software similar to Evidence.com for retailers. And they share wildly with each other because they want to track -- they're all being hit with these organized retail crime organizations. And so there is actually much more collaboration than I was expecting. I expected a more competitive dynamic, and there certainly is on the retail side, but I'm not seeing anybody viewing this as an area of competitive advantage. They're quite collaborative. And then similarly, on the medical side, I was just with a major medical provider. And it was interesting there, there's a fair amount of mission-driven stuff, too. This company, in particular, operates a ton of ambulances and vehicles and EMS services. But there day-to-day, they're pretty geographically segmented, and they're constantly deploying ambulances that calls that may come into a competitor or they'll have a call that comes in that they'll end up shunting over to a competitor. And I think in those cases, I've not seen in those industries that a negative competitive dynamic. In fact, there's a lot of the same collaboration.
Joshua Isner: Yes. I'd just add, it's incumbent upon us to build the business case also for every customer. Ultimately, I think you're right, in general, like there's an element of competition, at least a little more so than in public safety. But ultimately, all of these decision-makers understand what an ROI looks like and that our products drive that ROI and solve real problems for them. So our lead gen efforts and our -- how we show up for new prospects matters probably a little more here than in public safety. But at the same time, I think the market is so much bigger as well that I don't think the opportunity slows down as a result of that nuance.
Erik Lapinski: Up next, we have Jordan Lyonnais at Bank of America.
Jordan Lyonnais: Rick, you touched on it a little bit in the Go Boldly podcast where things had gone where you expected. So when we look out to 2028, having this joint sensor just under the Axon tool belt, what do you worry about could go wrong?
Patrick Smith: I think for us, a misstep around sort of privacy and data handling. We are seeing that those are concerns right now out in the public. I think that would be one where we could make a mistake that would have outsized negative consequences. I think also if we -- our customers are going to expect that we continue to deliver more and more value. I mean they're all hearing the same things we all are that you can do more with less cost in terms of developing technology. And so I think it's incumbent on us to make sure we're still earning our way up the value chain the way we always have. It something I'm particularly proud of, like when Josh talks about where we were 5 years ago with a much lower peak price point, it was, I think, like in the $200 range. We haven't just like raised prices to get there. We've launched a ton of new products that didn't exist. And I think that we've got to just continue to deliver there. And Jeff and his team are pretty busy making sure that I think expectations for what we deliver in the AI Era Plan are going to continue to grow, and we've got to hit it.
Erik Lapinski: Thanks, Jordan. Up next, we have Keith Housum at Northcoast.
Keith Housum: Just unpacking the enterprise opportunity a little bit more. Perhaps you guys can provide a little bit of color about, one, I guess, which verticals are you having the initial success in? And perhaps any color you can give on the second large customer that you guys have in terms of which vertical they buy in? And then finally, I guess, as you guys are going after the enterprise market, are you leading with Fusus? Are you leading with the Mini or what's kind of like the lead product there? And are people signing up for a multipack or are they going with one product and the goal is to land and expand?
Joshua Isner: Yes. Thanks, Keith, and good to see you. I would say, look, like our salespeople, we're like as allergic as to the like show up and throw up mindset as you possibly could be. Like we want our salespeople showing up and asking a million questions to identify the opportunity and then figure out what product is going to solve the problem. And so I think there's moments where ABW Mini leads or Axon Body Mini leads to more conversations around software and AI. I think there's moments where Fusus is really the exciting part. I think there's moments where Outpost and Lightpost or DFR or counter drone are the exciting first opportunities. And I think that's -- it's similar to international. It's like the beauty of it is -- you just got to get in with one product and then everything works so synergistically, we'll bet on ourselves and our ability to sell more over time. And so I think now more than ever, it varies. Like for a little while, it was a Body cam and then you go to the next step. Now it can be a number of different first products.
Keith Housum: Great. Great. Any color on the large customer that you guys announced in your second one in enterprise?
Joshua Isner: Yes. So I appreciate you asking, Keith. Personally, I'm not sure that we're going to be announcing logos from us on enterprise deals. I'm not sure that it serves us. And I think we'll see. I think some of these will just come out in the press or hopefully, some of you guys are walking into these major businesses over time and you see our products just being used in the wild. But I think we're trying to do the calculus of like is it worth starting to identify these by name for competitive reasons or not. And so that -- hence our trepidation on that.
Erik Lapinski: Thanks, Keith. Up next, we have Meta Marshall at Morgan Stanley.
Meta Marshall: Congrats. I guess just maybe first question on the 911 market. Just is that a different buyer kind of within the organization? Or just how much can you use kind of cross-selling and leveraging the relationships you already have within kind of some of the state and local environments? And then maybe just a second quick question for Brittany. You mentioned the 30% on the premium OSP plan. Understanding that continues to kind of get enhanced over time. But do you see any major changes to that percentage kind of driving some of your expectations for 2028?
Joshua Isner: Brittany, do you want to start with the second one first?
Brittany Bagley: Yes, sure. I mean, look, the interesting thing about that is the premium plan goes up every year. So each year, we start with a new premium plan. I do think that over time, we will continue to roll more of our customers on to our most premium plans. That's a little bit of what you're seeing underlining the 125% NRR number. So I think you can continue to see it moving up over time. I also think, though, that we continue to add amazing new products, and that takes that premium plan price point up. So it's not like I see us getting saturated on how many people are on the premium plan in the next few years.
Joshua Isner: And Meta, great question on the buyer persona and 911. I don't think it's cut and dry with like one buyer. Sometimes the RTCC really has a lot of say over that, the real-time crime center. Sometimes the police department or county operates their own 911 center and there, again, it's a very tight decision loop. Sometimes a PSAP supports 5, 10, 20-plus different accounts. And there, that's probably the case where we get the lease network effects from our existing customer base, but there's still some. And I think Prepared and Carbyne over the past several years have really built up their own brands and relationships in those spaces. So I think we view this as an opportunity to bring more potential buyers into our universe, not necessarily like an uphill battle to go meet a bunch of new buyers for the first time.
Erik Lapinski: Thank you, Meta. Up next, we have George Notter at Wolfe.
George Notter: All right. I think I heard you say earlier in the call that you have 500 agencies deploying Axon Assistant. I think Axon Assistant is an element of the AI Eras Plan. I guess I'm inferring that you have 500 AI Eras customers at this point, and that translates into $750 million in bookings. Is that the right math exercise? Am I looking at that correctly?
Joshua Isner: Not quite, George, because you could buy some of these as a stand-alone as well. And so it's not one for one, any customer who adopts a Draft One or an Axon Assistant is automatically an AI Era customer. But directionally, that's kind of the right line of thinking that a number of those deals will be on the AI Era Plan and translate into a certain number of bookings. And we're -- you know what the pricing is, we publish it. It's not a secret. It's just a matter of covering the market.
Brittany Bagley: I think also, George, what we were calling out is that's one of our very newest features inside the AI Era Plan. And so not every customer turns on a new feature immediately. So we're sharing that because it's a really nice indicator that customers are excited for it and they're starting to adopt it, but it does not tie exactly back to how many customers are on our AI Era Plan.
George Notter: Got it. Okay. I guess where I was going with this is I'm trying to understand sort of the penetration rate you've got at this point on AI Eras. And I guess if I think about 15,000 law enforcement agencies in the U.S., roughly just the U.S., and I kind of use that 500 number as a proxy for your penetration. Like am I in the right ballpark in terms of where you are in penetration rate?
Brittany Bagley: I would go back and I would look at what we charge on a per officer per month basis for that, consider that inside of the $750 million of bookings that we shared, and then you can tie that sort of back to the officer count.
Erik Lapinski: Up next, we have Jim Fish at Piper Sandler.
James Fish: Look, going back on TASER, TASER noticeably reaccelerated, and we've been hearing customers that had been on TASER 7 were sort of being told end of support on that as they come up for renewal, not a forced refresh by any means across the base, but encouraging them to move to TASER 10. So I guess how much refresh of TASER 7 to 10 could we see this year? Or what percentage of the base is still actually on some of the legacy offerings that we can actually have a bit of an upgrade cycle on top of the fact that if I look back 5 years ago, your incremental bookings really improved versus this time last year. So should we be expecting a larger portion of your growth this year actually coming just from contract renewals?
Joshua Isner: So Jim, great question. I don't think it's the case. We view it as failure when a customer buys TASER 10 and then their upgrade is a TASER 10 5 years from now. So we're really focused on trying to get the new version of the TASER out to market as fast as we can. I would say TASER 7, there's -- we would never not support the product. Part of our -- actually, part of our inventory strategy is like, hey, we launch a TASER. We know it ships for 15 or 20 years before it's discontinued. And that kind of is the hedge on being more aggressive with holding more inventory upfront. So we'll continue to support TASER 7. There's plenty of customers on it and using it. Of course, we view those as the population. We've got to go earn the right to upgrade, and we believe we will. But high level, I think you should think of the TASER business this year as plenty of demand and orders to support the revenue guidance. So certainly, we don't see anything different than that.
Brittany Bagley: Yes. I would maybe just add, I mean, that's all spot on. I mean, including the fact that like we still have customers we're selling X2, too. So yes, TASER 10 is doing incredibly well, but that's driven a lot more by the efficacy of the product than it is us not supporting it. But I think the thing I wouldn't miss is as we have big corrections deals and we have big international deals, you're seeing new customers come in, right? So there's always this conversation around TASER of like what is the upgrade cycle. That still exists. Customers do 5- to 10-year contracts. We upgrade TASER every 5 years. But don't forget the piece in the TASER business as new customers are coming in and actually adopting TASER.
Erik Lapinski: We'll go to Tim Long at Barclays next.
Timothy Long: Just 2 quick ones, if I could. First, obviously, a lot of success in these other markets outside of state and local. So just curious, anything jump out that's different there relative to deals that are in more of the core, things like win rate, deal sizes, bundles, anything like that, that you can point to directionally on those? And then second, I did want to follow up on the hardware comments on T10 and AB4 both seem to have a ton of incremental utility compared to prior products. So Rick, I think you talked about some magic in hardware, but -- just curious, as you've taken such big leaps on this last set of some of the core products, does it get more and more difficult over time to innovate further and take bigger steps compared to what was just accomplished with the really successful ones?
Patrick Smith: No, I actually can see, I think our next generations of hardware are all going to be pretty compelling. We've got at least one new category in the pipeline as well. But I'm knee-deep in the next-generation TASER, knee-deep with Rubén Caballero, who Jeff hired on his team, who's leading our sensors space. His last gig -- well, I don't know if it's his last gig, but he worked for Steve Jobs directly as a hardware lead on the iPhone. So bringing him in, a lot of new creative energy looking at our personal sensor space. So I think we still have a lot of room to innovate. Jeff, how would you answer it?
Jeffrey Kunins: No, I think that's spot on. I was just -- I was half jokingly saying we have at least 2 whole new categories in the pipeline. But I thought that was good. And I think to the -- everything we said on the call, it all just keep coming back to, I think, where we continue to differentiate on being the world's best combination in this area of hardware and software working together and on having a full spectrum portfolio of products that we grow both organically and through bringing on early-stage disruptive winning teams and product lines and bringing them into the fold in a way that is just as natural as if they were organically built, which is a completely different approach to just sort of GE style stacking together a bunch of independent separate nonintegrated companies.
Brittany Bagley: I don't think we're anywhere close to running out of ideas and things to be innovative on, not on the product team, but neither Rick nor Jeff nor their teams are slowing down in any way.
Joshua Isner: And Tim, on your first question on the different market dynamics depending on which buyer we're talking about. Ultimately, state and local is a market that values premium products even if they carry premium prices. The only buyers that are buying anything else are doing that on price. They're willing to take a more primitive product at a lower price that is not full featured. And that's happening very, very rarely in state and local, and I believe that will continue to happen very, very rarely. Internationally, we've said for years, hey, if you're a customer that wants on-prem with primitive tools and you want to pay a very inexpensive price for that, we're probably not the vendor for you. And there is some of that internationally. But the good news is more and more, we're seeing customers that value the premium workflows and products and tools between hardware and software, and those are becoming Axon customers. And so I think it just comes down to the intersection of price and quality and the buyers that really value price above all, they'll generally buy something else. But the good news for us is there are fewer and fewer of those buyers in public safety.
Erik Lapinski: Thanks, Tim. Up next, we have Joe Cardoso at JPMorgan.
Joseph Cardoso: Maybe just one for me, just to be respectful of time here. When we think about the AI Era Plan traction today, just curious if you could touch on now that it's been in the market for a while or at least a year plus, if you could touch on customer behavior around adoption of the plan and whether you're seeing any interesting trends. And like maybe specifically, curious if adoption is being more done in isolation, meaning like you're just seeing folks go out and basically purchase the AI Era Plan or if you're seeing customers expand spend in other areas of the portfolio at the same time? Just trying to get a sense if you're seeing any pull-in as you're kind of going out to customers and pitching kind of the new plan there.
Joshua Isner: Yes. Thanks a lot, Joe. And I think, look, oftentimes, OSP and the AI Era Plan at this point are bought in tandem with each other, and that often includes a newer version of OSP with more new products in it. So I think it's fair to say that it's not in isolation that customers are buying the AI Era Plan, they're buying it along with other capabilities. And I think, look, we've got our customer success team, their sole measure of success day-to-day is adoption of new products. And so that's really what they're focused on. When we sell AI Era Plan, getting customers comfortable with using it is -- it takes a little bit of work, and that's what our customer success team does day in and day out, and they're very, very good at it. I'm particularly excited. I think as we ideate and talk about new AI products that are going to go into that plan, I think this is going to be an exciting year for that, and we're going to start unlocking some new capabilities in that plan for customers over the coming months. And going into next year, I think there'll be a lot to talk about in terms of new capabilities in that plan. So certainly very bullish on what the future of AI adoption looks like amongst our customers.
Erik Lapinski: Thanks, Joe. We'll squeeze one more in here. I know we're running up a little over on time. But -- so Trevor Walsh at Citizens.
Joshua Isner: Erik, let's get through them all. I mean all these -- everybody waited 1.5 hours here might as well let them ask the questions.
Trevor Walsh: All right. Cool. I like it, Josh. Rick, maybe for you just on the commentary you made around drone legislation. You sounded like you were -- there was a little bit left to be desired about what's kind of currently out there. But as we kind of read through the most recently passed National Defense Act, there was a pretty robust language in there about letting -- moving from federal agency overview to giving state and local powers around both kind of drone tracking, taking down or mitigation of threat type drones. So I guess what do you think is lacking there still? Or what still needs to be done for you in that regard?
Patrick Smith: Well, I just think it's a continued evolution. Like I know there's some special accommodations being made for the World Cup for those cities. And then there's some more broad-based stuff. But I've been walking all the Congress. We got a bill to create a new less lethal category that would exempt the T10 from the Firearms Act. And then I understand why people say it will take an act of Congress with something that's going to be pretty hard to do. But we're just -- we're continuing to engage there. So to be honest, I haven't checked in on the latest status of the -- where each type of regulation is on this. But I think just directionally, today, state and local really can't mitigate drones directly. I think in a few years, they'll all get that capability. And we may see it go to a fair number of private security type folks, too, like sporting stadiums and people are running critical infrastructure. So the main point is it's narrowly allowed capability today, but we're building the center network to be able to expand and be able to do mitigation work as well. And we just think that that's going to grow as the regulations loosen up.
Joshua Isner: And I'd also say, like to the administration's credit, they've been very open to modernizing policy around drones and counter drones, which we view as very helpful, like the engagement and conversations have generally given us a lot of confidence that the government is going to adapt with the technology.
Erik Lapinski: We've got Josh Reilly at Needham.
Joshua Reilly: All right. Just 2 quick items for me. On the international business outside the Commonwealth countries, would you kind of characterize that 2025 was that an inflection point in terms of that becoming a much bigger contributor to international? And then secondarily, on Carbyne and Prepared impact to the guidance, I got a number of e-mails into the quarter asking about the impact there on revenue and EBITDA. I know it's relatively immaterial, but any comment there?
Brittany Bagley: I can take one...
Joshua Isner: I'll let Brittany with the second one, yes.
Brittany Bagley: I'll start with the second one. On Carbyne, there's literally 0 impact because Carbyne wasn't even closed until this month. And to your point on Prepared, it was only partway through the quarter. It was really an immaterial impact. So we're very excited for both businesses, but you can expect to see those really start to impact going forward.
Joshua Isner: And Josh, what was the first question again? I think it was international related, but sorry.
Joshua Reilly: Yes. Is there an inflection point in the international business that could be a good bode well for this year?
Joshua Isner: Look, it's only an inflection point if we follow it up with an even better year, right? And so we'll see at the end of the year if it was or it wasn't, it certainly feels that way, but it's not going to feel that way if we don't show up and do our jobs well and continue to bring on more and more international customers. So that will be the focal point. We feel like we have some wind at our back, and now we got to capitalize on it.
Erik Lapinski: All right. And our final question will come from Jeremy Hamblin at Craig-Hallum.
Jeremy Hamblin: And I'll add my congratulations. I'm going to ask a high-level question. So I think what's interesting, if we go back 3 years ago when you unveiled the FY '25 plan, at that point in time, you were assuming a 20% sales CAGR. And with each successive year, you've actually raised your expectations on your sales growth, your revenue growth for the year on your initial guidance here in February, including this year where it's 27% to 30%. I want to just understand in terms of the visibility, like clearly, which must be significantly higher and how you feel about that today than you did about the business 3 years ago. What's providing that type of confidence? Is it that you just have a lot more shots on goal and a lot more ways that you can win? And obviously, the business has tacked on a lot of different areas, whether it's Axon 911, whether it's Dedrone, et cetera. But just can you provide a little more insight? You guys are typically pretty conservative. I don't know how many quarters in a row of beat and raises in the 20s, I think. But I just wanted to get some insight.
Joshua Isner: Yes. Jeremy, it's a great question, and I appreciate it. I think some of what you said certainly factors into it, but the biggest thing is the bookings growth rate, right? Like when we issued that guidance a few years ago, we were seeing bookings in that range as well in terms of year-over-year growth. Now all of a sudden, they're accelerating each year into a high point last year, and hopefully, we'll be able to trump that this year. But when you look at that type of growth and you factor in what like all those guaranteed dollars already mean for us as they come in, certainly, it gives us more confidence that revenue will continue to be exciting in its growth rate. And at the end of the day, even 5-year normalized bookings were accelerating nicely year-over-year. And so again, even when you zero in, it gives us more and more confidence that these bookings are going to continue to translate into growing revenue. And so that's probably the #1 consideration. Certainly, we see the pipeline and some of these larger deals take longer to close. And so we're talking about deals now that are going to hit next year in some of these markets. And so I think it's a combination of a few things. But ultimately, one of the things we think we do very, very well early every year is establish what the floor looks like. And then as things start to become more and more true throughout the year, we can update that guidance as we go. So that's a little bit of commentary about how we look at the growth rate.
Brittany Bagley: I would echo that. I would -- Jeremy, just mechanically, if you look at it, we've got our future contracted bookings, and we talk about how 20% to 25% of that will convert in the following year. So if you think about how we did guidance, last year based on our future contracted bookings number. We're actually taking a very, very similar approach to our future contracted bookings number this year and how much we think bakes into it. We just have a bigger future contracted bookings number. So you have more that is naturally carrying over into the next year. And then the delta between that future contracted bookings number and our guidance is based on the pipeline and what we think we can go get. And there, to your point, we just continue to see these underlying metrics like our NRR and the potential ARPU and what customers can do because we have so many more products and so many more markets, you can imagine that, that gives us comfort in hitting that relatively larger number with our pipeline each year. And you can actually roll that all the way forward to 2028 and sort of keep a consistent math philosophy.
Erik Lapinski: Thank you. We'll kick it to Rick to close this out.
Patrick Smith: All right. Hell of a year, as Josh would say, next play. Again, just really pumped to be part of this team, getting to work on these problems and have supportive shareholders, especially as we enter this does feel like this year is different. Just the world is changing really fast. And for years, I keep putting up pictures of Charles Darwin quote that it's the adaptable that survive. And I think that's really the incumbent. Can we be as adaptable as the company we are today as we were when we were smaller. And only time will answer that, but we're sure focused on it. So thanks, everybody. Stay safe, and we'll see you maybe at Axon Week, where we may have a few announcements.
Joshua Isner: Thanks, everyone.
Erik Lapinski: Thank you.